Operator: Good afternoon and thank you for standing by. Welcome to Western Digital’s First Quarter Financial Results for Fiscal Year 2015. (Operator Instructions) As a reminder, this call is being recorded. Now I will turn the call over to Mr. Bob Blair. You may begin.
Robert Blair: Thank you. I want to mention at the outset that we will be making forward-looking statements in our comments and in response to your questions, concerning, among others, our position in the growth of data and the storage ecosystem; the growth areas in storage; our investment focus; our product offerings and our customers’ responses to those offerings; and our financial performance, including our financial results or expectations for the December quarter. These forward-looking statements are based on management’s current expectations and are subject to risks and uncertainties that could cause actual results to differ materially, including those listed in our 10-K filed with the SEC on August 15, 2014. We undertake no obligation to update our forward-looking statements to reflect new information or events. In addition, references will be made during this call to non-GAAP financial measures. Reconciliation’s of the differences between the historical non-GAAP measures we provide to the comparable GAAP financial measures are included in the quarterly fact sheet posted in the Investor Relations section of our website. The guidance we provide during this call excludes amortization of intangibles related to the acquisitions of HGST, sTec, VeloBit and Virident implied termination asset impairment and other charges and charges related to litigation. Because the amount of these items is not fully known to us at this time, we are unable to provide guidance for or reconciliation to the most directly comparable GAAP financial measures. The impact of these excluded items may cause the estimated non-GAAP financial measures to differ materially from the comparable GAAP financial measures. We ask participants to limit themselves today to a single question and one follow-up question during our Q&A section of the call. I also want to note the copies of remarks from this call will be available on the Investors section of Western Digital’s website immediately following the conclusion of the call. And now I’d like to turn the call over to Steve Milligan, President and Chief Executive Officer.
Stephen D. Milligan: Good afternoon and thank you for joining us. After my opening remarks, Olivier Leonetti will provide additional commentary on our September quarter performance and our outlook for the December quarter. Olivier joined Western Digital in early September as Chief Financial Officer. He is a welcome addition to our team, with many years of global finance experience, both at Amgen and Dell. I want to thank and acknowledge our former CFO, Tim Leyden for his 24 years of leadership and served us at Western Digital and we wish him the best and his retirement starting the first of the year. As anticipated market demand improved in the September quarter and we achieved strong revenue EPS and gross margin performance. We also continued to generate healthy cash flow. The diversified nature of our business, coupled with the ongoing secular growth in data, and our crisp execution continue to allow us to demonstrate strong and consistent financial performance, we expect this trend will continue. For the September quarter the industry CAM came in at the higher end of expectations. This reflected quarter-over-quarter growth and capacity enterprise, client, branded and consumer electronics and stable demand in performance enterprise. We saw the same trends in our own business, with notable strength in our client, capacity enterprise and flash platform solutions businesses. The ladder of which includes our expanding line up of enterprise class SSDs. The industry demand outlook for the December quarter reflects a modest sequential decline with moderation in client and CE partially offset by continued strength in capacity enterprise, and branded and steady demand in performance enterprise. We believe industry supply and demand and associated inventory levels remain balanced. Looking at our business for the December quarter, we see the same trends. Moderation in client and CE, strong momentum in branded in capacity enterprise as well as in our flash related business, and continued steadiness in performance enterprise. As a company at the center of the storage industry, this is an exciting time for Western Digital. There is tremendous change underway and how and where value will be created. All around as the storage ecosystem is transforming with ongoing focus on how data is stored, accessed, protected and how it has been used and monetized. All of these changes are driving a diverse set of needs for our customers, and opportunities for our company. We are working with our customers and partners to help extract more and more value from data in an innovative and cost effective manner, across our full spectrum of products. I continue to be encouraged by our broad-based strategy both in terms of our financial results, and customer feedback. For instance, our flash platform solutions group resumed, as faster than an industry growth trajectory with revenue of $156 million for the September quarter. We remain on track to achieve accretive earnings for this business, early in calendar 2015. Our broad lineup of high capacity hard drives, based on our proprietary HelioSeal platform, has been very well received by both traditional enterprise and hyperscale datacenter customers, including the new 8 terabyte and 10 terabyte models announced last month. We recently shipped our one millionth WD Purple hard drive architected to address the high-growth space of security surveillance video applications. Governments’ and other large organizations’ increasing use of video and digital network cameras is driving a huge need for a high resolution recording. Our enterprise customers have responded very positively to our newly announced Active Archive offering from our newly formed Elastic Storage Group. And in the personal cloud, we continue to grow our My Cloud business with expansion in all geographies addressing consumer and prosumer markets. Olivier will now review our first quarter results and cover our outlook for the December quarter.
Olivier Leonetti: Thank you, Steve and delighted to be part of the team. Expected seasonal demand and consistent execution helped us exceed financial expectations in the September quarter. Industry shipments were in line with the TAM implied in our guidance provided in July. In our business, we saw the anticipated seasonal increase in demand for client and branded products as well as strength in capacity enterprise and continued steady demand in performance enterprise. Aggregated channel inventories of Western Digital products remain at the low end of our four to six week range. Our revenue for the September quarter was $3.9 billion. This included $156 million in revenue related to our Flash Platforms group, which includes enterprise SSDs. As a reminder, we continue to expect that our flash related revenue growth will outpace the growth rate of the industry. We shipped a total of $64.7 million hard drives at an average selling price of $58. The quarter-over-quarter increase in overall ASP was driven by business mix, consistent with the seasonal improvement in client, branded and the strength in capacity enterprise. Our gross margin was 29.1%. Our non-GAAP gross margin was 30.1% which was better than our implied guidance due to business mix. This excludes $39 million of amortization of intangibles. Operating expenses totaled $680 million. Our non-GAAP operating expense was $638 million, excluding $42 million of amortization of intangibles, litigation charges and employee termination costs. The additional expenses to our guidance primarily relates to incentive compensation and stock appreciation rights. Our net income totaled $423 million or $1.76 per share. On a non-GAAP basis, net income was $504 million or $2.10 per share. Turning to the balance sheet, in our fourteen week quarter we generated $827 million in cash from operations and our free cash flow totaled $667 million. Our CapEx totaled $160 million or 4% of revenue. We repurchased 2.2 million shares for $223 million. We also declared a dividend in the amount of $0.40 per share. We closed Q1 with total cash and cash equivalents of $5.2 billion of which approximately $1.2 billion was held in the U.S. I’ll now provide our guidance for the December quarter. We expect revenue to be in a range of $3.75 billion to $3.85 billion. Gross margin to be flat with the December quarter level of 30%, excluding the amortization of intangibles. R&D and SG&A spending of approximately $600 million, excluding the amortization of intangibles. A tax rate of approximately 8%, and a share count of approximately $238 million. Accordingly, we estimate non-GAAP earnings per share of between $2.00 and $2.10 for the December quarter. Operator, we are now ready to open the call for questions.
Operator: Ladies and gentlemen, we will now begin the question-and-answer portion of today’s call. (Operator Instructions) And our first question comes from Sherri Scribner with Deutsche Bank. Your line is open.
Sherri Scribner – Deutsche Bank North America: Hi, thank you. I was hoping you could just go through the puts and takes on the gross margin guidance for the fourth quarter. I would think that the client business being may be at the softer you have better mix in the quarter. So I was just trying to understand that a bit better. Thanks.
Stephen D. Milligan: So if you look at Sherri. This is Steve. We’re going to take a small absorption had in terms of lower volumes that will be offset by favorable mix in terms of capacity enterprise and certainly we will see a little bit, client margins tend to be a little bit lower than the corporate as a general statement, but on balance things that net out to the extent that we think that our margins will be flat, quarter-on-quarter.
Sherri Scribner – Deutsche Bank North America: Okay, thanks Steve. That’s helpful. And then, it’s been a while since your last Analyst Day. I wanted to see if you could provide an update on your, on priorities for cash, in terms of how much you expect to use for buybacks and your plans to increase the dividend. Thank you.
Stephen D. Milligan: So, we continue to be committed to the capital allocation plan that we announced back in September 2012, in terms of 50% of our free cash-flow been returned to shareholders and the rest to be – I will call it held in reserve for potential strategic opportunities, as we look at the changes that we see in the storage ecosystem, we continue to think that there are opportunities for us to – I’ll say expand our footprint, in terms of the storage industry and ways that not only add value for our customers, but also add value for our shareholders. So at present, we are sticking with that capital allocation plan; of course we periodically review that, as a part of our overall review of our strategic priorities, but at this point there is no intend to change in our capital allocation plans.
Operator: Your next question comes from Ananda Baruah with Brean Capital. Your line is open.
Ananda Baruah – Brean Capital: Hi guys, thanks for taking the question. Congrats on the early solid quarter and Olivier welcome. I guess yes two if I could I guess both on kind of datacenter and cloud, so the SSD revenue was quite strong sequentially this quarter. Could you talk to – to what degree that was related to hyper scale build out, which you guys had talked to expecting and to what degree they’re related, I guess, OEM product refraction? And then I have a follow-up in that regard as well. Thanks.
Stephen D. Milligan: So let me kind of opine in a broader picture. We are seeing broad based strength in terms of the broader enterprise business, both in terms of traditional customers as well as the hyperscale data center customers, both in terms of our capacity enterprise business, which we saw a nice pickup this past quarter. We expect that momentum to continue into the December quarter and correspondingly we’re also seeing, as you indicated, strong strength in our enterprise SSD business. That is really, I’ll call it, across the board and really speaks to the strength of our product line both in terms of – well, really across the board, performance enterprise, capacity enterprise as well as in terms of enterprise SSD. We clearly have the broadest product line in the industry and not only that. We have the broadest products that we arguably believe that we got very strong performance from a product standpoint as well. So that’s being reflected in our performance as well as the build out that we’re continuing to see from the customer perspective.
Ananda Baruah – Brean Capital: Steve, that’s really helpful context. I appreciate. And I guess just in that regard how are you guys thinking about the cadence of hyperscale deployments as we get into the first half of the year given there’s a lot of, I guess, call it lack of pent-up demand coming in the second half of year? And then also, how are you guys thinking about, I don’t know, the adoption kind of curve just in the enterprise, [tried and true] (ph) enterprise given that second half of the year is a heavy product cycle, second half with the OEM? Thanks.
Stephen D. Milligan: Sure. I mean we have, I’ll call it, increasing visibility. Obviously, we had good visibility till the December quarter probably in terms of what we see from a demand perspective. We got increasing visibility on what’s going to happen in the first part of 2015 and we believe that strength will continue from an industry perspective as well as from our perspective in the broader enterprise space through the first half of calendar 2015.
Ananda Baruah – Brean Capital: Thanks a lot.
Operator: Next question is from Aaron Rakers with Stifel. Your line is open.
Aaron Rakers – Stifel Nicolaus & Company, Inc.: Yes. Thanks for taking the questions, a couple as well. So, first of all, I want to go a little bit deeper in terms of the portfolio difference between you and Seagate. I think one of the things that we’ve started this year is a pretty good adoption of your Helium drive. I think Seagate though had a very strong growth in their high capacity drives as well. Can you talk a little about the competitive landscape? What do you feel your share position is within these cloud and hyperscale guides? And then with that how you’re seeing the adoption rate pickup with regard to the Helium drives?
Stephen D. Milligan: We’re seeing strong momentum in terms of adoption of our Helium based drives not only in terms of 6 terabyte, but substantial interest in adoption of the 8 terabyte as well. And so, we feel very good about where we’re positioned particularly with the hyperscale guide, it’s a little bit more difficult to know exactly what our share position is? But we feel very comfortable with where we’re at from a customer and from a competitive product perspective recognizing the fact that Seagate is a formidable competitor, but we feel very good about where we’re positioned right now.
Aaron Rakers – Stifel Nicolaus & Company, Inc.: Okay. And then as a follow-up, well, there is not a lot of questions right now with regard to MOFCOM. I think it’s still obviously an important variable to consider in the model. So maybe if you can give us an update where you stand with regard to the dialogue with MOFCOM and is there any kind of updated views on expectations with regard to the timing of a decision on MOFCOM and as you’re opinions or views change on a potential synergy opportunities being able to integrate Apache. Thank you.
Stephen D. Milligan: And so Aaron, no specific update that’s any different than what I provided last quarter, our dialogue with MOFCOM continues. It continues to be constructive and it continues to be active. And so I was in China a couple of weeks ago and met with MOFCOM. And as I indicated, we continue to have a discussion about our situation, the process that they will use from a review perspective. I’ll call parameters that they will use to evaluate our application. And so we although maybe a bit discouraged I guess you might say in terms of the timing. We are positive about our ongoing dialogue with China with the monopoly bureau. They have not provided any indication as to specific timing. I think one of the things that we have to recognize is that the whole separate remedy that was imposed was a new remedy. It was not something that they had done before. The reapplication to have it lifted is therefore by definition also a new process and an undefined process. And the Chinese are being very deliberate with that review. We respect that. And like I said, we may be a bit frustrated in terms of we certainly would like them to move faster, but at present we continue to be encouraged by the constructive nature of our dialogue.
Aaron Rakers – Stifel Nicolaus & Company, Inc.: Thank you very much.
Operator: Next question comes from James Kisner with Jefferies. Your line is open.
James Kisner – Jefferies Equity Research: Hi, guys. Thanks for taking my questions. First on Helium, just wanted to understand if you had any capacity constraints and all were you able to meet all the demands for Helium drives?
Stephen D. Milligan: No capacity constraints related to our Helium-based drives.
James Kisner – Jefferies Equity Research: Great and just separately just mathematically there seems like you may be losing a little bit of share near-term on notebooks. Just could you comment on that as skepticism you’re seeing is this just a quarter-to-quarter duration or what you think?
Stephen D. Milligan: Yes, if you look at our share over the last several quarters, we have had the – we’ve sort of been up and down maybe a point or two. If you recall last quarter or two quarters ago, so the June quarter, we gained two points in market share, this quarter we lost, I believe, about 170 basis points. So this tends to be the normal ebb and flow that occurs in our business from a share perspective. And as was indicated yesterday on our largest competitors call, they took some incremental business or were provided some incremental business in the gaming segment that drove a reasonable amount from what we can gather of their share increase and correspondingly drove the Lion’s share of our market share decline. And also you can see that that was lower margins business and perpetuated itself and our respective financial performance.
James Kisner – Jefferies Equity Research: Great, thank you.
Operator: Thank you. Our next question is Richard Kugele with Needham Company. Your line is open
Richard Kugele – Needham & Company: Thank you and good afternoon, just a couple of questions. I guess first is close the loop on the settlement with Seagate. I assume that that payment came from offshore cash right and is there any change to how you’re viewing your own capital deployment strategy to shareholders?
Stephen D. Milligan: So let me take this one. You’re right; the settlement was paid out of offshore cash. And as a clarification also we distributed 50% of our free cash flow this quarter which is consistent with what we have done over the last two years. Now in the short run, exiting the recent arbitration payment from our calculation, we reserved to not exceeding our capital allocation target. And we expect our board to view this matter next week during its regular meeting and we will update you at that time.
Richard Kugele – Needham & Company: Okay. And then actually in that vein, Olivier, how do you view the balance sheet and what do you think is the right type of cash balance to run the two operations as you move forward?
Olivier Leonetti: It’s a question we’re asked a lot. As you can see in our balance sheet, our cash balances are strong with about $1.2 billion of cash in our U.S. bank accounts and also a leverage ratio, which is pretty low at 4.7%. As Steve indicated earlier, we believe that the current allocation, 50% of free cash flow is a good balance to reward our shareholders today, but to reward our shareholders tomorrow by keep investing in the business. So we believe where we’re today – we’re looking at that, but we believe it’s a balanced situation.
Richard Kugele – Needham & Company: Okay. And then just lastly geographically. The Americas took up nicely while Asia was down at a percentage of the total. And I’m just wondering if that’s tied into your enterprise strength as the U.S. data centers deploying a lot of high capital. Is that how we should view it?
Olivier Leonetti: That would be part of it and also it’s also a brand with strong – with a lot of that business being in the U.S. So in that regard there’s a bit of seasonality playing into it.
Richard Kugele – Needham & Company: Okay. Excellent. Thank you.
Operator: Next is from Harlan Sur with JP Morgan. Your line is open.
Harlan Sur – JP Morgan: Hi, good afternoon. Nice job on the quarterly execution. Your flash business obviously showed some nice acceleration here, up I think almost 40% sequentially, came in number one in SAS SSD. You’ve got a competitive PCIe offering. From a product perspective what’s driving the pickup series? Is it both staff and PCIe? Any color here would be appreciated. And maybe just a quick update on your SATA flash strategy.
Stephen D. Milligan: Sure. So the primary momentum that we saw in our business was related to our SAS business, and primarily driven by a refreshed product line and we’re going to continue to see that momentum continue over the next few quarters. Relative to PCIe, we continue to be encouraged by that business. We have, as we indicated, had the HGST press event in September. We will have some refreshed products come out that we believe will be more competitive on the PCIe front and that will began to impact our financial results in the middle of next year. And then, right now on the SATA front, we do not have a competitive offering in that space. We’re looking at it closely and there it is primarily an economic issue. We clearly could address it from a technical capability and customer perspective, but we also want to do it in a way that generates direct kind of returns for ourselves and our shareholders.
Harlan Sur – JP Morgan: Thanks for that, Steve. And then as a follow-up the enterprise flash is a big market $4 billion. So obviously a lot of room for the team to go from here and as you scale this business higher, do you feel comfortable in being able to cost effectively secure NAND flash supply because it does look like suppliers are going to be fairly tight as we move through next year and potentially through 2016.
Stephen D. Milligan: At present we do. We continue to have a very strong relationship with Intel through our joint development arrangements. We’ve recently talked about how that development arrangement has been extended. I believe probably for – I may have my number here wrong, but I think it’s third time that we’ve extended that since. We originally entered into that arrangement back in 2008. We also announced back in September again at the HGST press event that we have expanded our NAND relationship to include Toshiba as well. So we’re working with them on a strategic basis as well. And we’ll continue to evaluate the nature of our relationships in that regard, but right now we feel very comfortable with where we’re at.
Harlan Sur – JP Morgan: Great, thanks Steve.
Operator: Monika Garg with Pacific Crest Securities. Your line is open.
Monika Garg – Pacific Crest Securities: Hi, Thanks for taking my question. If we look at even your Exabyte growth and even Seagate, but industry Exabyte is very strong in Q-over-Q. If we see similar trend in the disk drive industry, do you think industry could see tight situation over the next three to four quarters? And what will be the criteria if you were look at – if you’re willing add any new capacity?
Stephen D. Milligan: Sure, that’s something that we continue to watch closely. At present, we do not believe – well, I need to say this way, we believe that we will have adequate supply from a component perspective to meet anticipated demand, but you raised a very good point when you’re talking about these high capacity enterprise drives particularly our 7 Platters Helium-filled drive. We used a lot of components, I mean 14 heads and 7 in Platter. And so that is something that we’re watching very closely. But right now, we do not anticipate that there will be a problem in meeting customer demand and nor that we believe that there will be any meaningful need to add capacity that will materially impact our stated CapEx plans. Reminding you that relative to CapEx, we have indicated that as of right now we’re about 4% of revenue, we expect that that will continue at that level through the balance of this fiscal year.
Monika Garg – Pacific Crest Securities: Then a question on the hybrid side, Seagate kind of had a good – they shipped around three million hybrid client mainly in the quarter. Would you kind of consider the hybrid strategy at some point?
Stephen D. Milligan: No. We have a hybrid strategy, we continue to review it consistently. We are seeing some encouraging signs in that business, particularly in the client space. We are not from our perspective seeing much interest for hybrid based drives in the enterprise space. We think customers are interested in a disaggregated solution as supposed to an aggregated solution. And we’re going to continue to evaluate what we’re doing from a hybrid perspective, but don’t from a product perspective, from a performance perspective and from an economic perspective. We are bit more muted with regards to our enthusiasm as it relates to hybrid offerings.
Monika Garg – Pacific Crest Securities: Got it. Thank you so much.
Operator: The next question comes from Jayson Noland with Robert W. Baird. Your line is open.
Jayson Noland – Robert W. Baird & Co., Inc: Okay, okay, great, thank you. I wanted to ask about join technology partnerships, Seagate announced one recently with a cloud service provider in China, recognized you guys probably have these. But just have an announcement formally, how popular are these Steve and should we expect to see more of them going forward.
Stephen D. Milligan: The answer is yes. We should expect to see more partnership kind of activity. I don’t quite know how to dimension how popular they are. But with the ecosystem changing so much and it’s changing in some cases in ways that are harder to predict. I mean there’s a lot of evolving technologies. You’ve seen us make some, and these are smaller dollars within the whole grand scheme of things. Make some investments in some storage technology related companies, enter into other kinds of partnership arrangements. And so that kind of activity will undoubtedly increase. As we look to expand our footprint, expand the way that we can add value and clearly many of these companies given where we sit within the storage world the view us as attractive partners to work with as well. So I think that we will continue to see that kind of activity expanding for ourselves and for others in the industry.
Jayson Noland – Robert W. Baird & Co., Inc: Okay. A follow-up there on the financial model. As you head down that path expanding your footprint in the systems business, should that drive gross margin up and investment on the OpEx line up over time?
Stephen D. Milligan: We are not specifically indicating that from a model perspective. I mean, we’re going to continue to keep an eye on that. We have been incrementally investing as well as reinvesting in terms of OpEx and shifting things around. But generally speaking, our OpEx levels have stayed relatively consistent from a percentage of revenue perspective. And then, in terms of gross margin, the opportunities that we are looking at pursuing, whether they be accretive on the gross margin line or accretive on the operating income line, I mean that’s clearly what we’re trying to do is figure out how we can add more value from a customer perspective and if we do our jobs right best to translate to improve the economics on our income statement as well.
Jayson Noland – Robert W. Baird & Co., Inc: Okay. Thank you.
Operator: Next is from Mehdi Hosseini with SIG. Your line is open.
Mehdi Hosseini – Susquehanna International Group: Yes, thanks for taking my question. Steve, you talked about the enterprise demand strengthening in the first half of 2015. How about traditional notebook and the consumer desktop? Any comment there and to that extent if you could also discuss the pricing trend that you see beyond the December quarter. Thank you.
Stephen D. Milligan: Sure. Relative to the PC market, both in terms of notebook and desktop, and I’ll address them together rather than individually. We see the PC market as I would characterize it as stable. We’ve seen in terms of IDC numbers that have been published or industry forecast that have been published is PC market declining in the low single-digits. We see that continuing. We don’t see either an acceleration or a deceleration from that perspective. So I would characterize the PC market as stable, which means that it’s certainly much better than it has been. And there’s certainly no slowdown or it’s not worsening and that’s a good thing from our perspective. Relative to the March quarter or the first half of 2015, I would indicate that our visibility there is not as great as it is in the enterprise market. And so, at this point, we would simply expect that we would see the normal seasonal decline that we traditionally see for a December quarter going into March, end of the first half of the year. So that’s the way we see it right now.
Mehdi Hosseini – Susquehanna International Group: Great. And then any color on the pricing…
Stephen D. Milligan: Pricing has been within our expectation, nothing nearly notable to call out.
Mehdi Hosseini – Susquehanna International Group: Got it, thank you.
Operator: Rob Cihra with Evercore. Your line is open.
Rob Cihra – Evercore Partners: Hi, thank you very much. I guess one – my question is a follow-up. On the enterprise SSD obviously a nice growth there. Do you had – I think Steve you’d reiterated the plan to be – or the goal to be accretive following sTec and the Virident acquisitions in early calendar 2015. That would imply I would assume that business moving to become meaningfully more of a contributor to the business given the fact that the HGST, Intel SaaS, SSD is still the bulk. I mean is that the case or is that more of a cost cut gets you to the equation. What gets you the equation, I assuming it’s…
Stephen D. Milligan: Well, so the primary dependency is ongoing revenue growth. We are investing a certain sum of money from an OpEx perspective to make sure that we have the product – the products out there from an industry perspective but the primary dependency is to that accretive statement is ongoing momentum from a customer acceptance and revenue perspective. And we are comfortable that we’re on the path that we need to be on to make the statement that we expect to be accretive on the first part of 2015.
Rob Cihra – Evercore Partners: Okay, great. And if I guess a quick follow-up on the Helium drives. I mean are they enough contributor yet to actually make a sort of meaningful impact on your ASPs on the blended ASP in enterprise. I am assuming so, but are they big enough yet to do that? Thanks.
Stephen D. Milligan: I mean that really I would paint in the context that our capacity enterprise business was a meaningful contributor to our ASP lift in this past quarter. I don’t know if I want to call out the helium filled drives specifically, but it’s beginning to make certainly a much more meaningful impact. I mean we’re very pleased with where we’re at with the adoption of our helium platform. And not only that I’m very encouraged by customer reaction or anticipation to volume production in the 8 terabyte as well.
Rob Cihra – Evercore Partners: Right, thank you very much.
Operator: Mark Miller with Noble financial Capital. Your line is open.
Mark Miller – Noble Financial Capital Markets: Well, thank you for taking my question. We talked earlier about the tightening NAND Flash environment possibility. And I’m just wondering at one point there was a big campaign for relative to competitors who have internal Flash supply as Flash prices increase?
Olivier Leonetti: I’m not sure I didn’t follow your question Mark.
Mark Miller – Noble Financial Capital Markets: Well, if the flash prices go up, I mean that’s a percent that you build materials for your drive and I’m just wondering what – how sensitive are you in terms of flash price increases, in term of your margins or your ability to transfer that to your customers?
Olivier Leonetti: Yes, I’m not that concerned about that market at this point. I mean we’ve been in the Enterprise SST business for a while, we’ve gone through some ups and down from a pricing perspective, we certainly have a history of dealing with that in terms of variability and in terms of component cost on our base drive business historically. There’s something that we have to watch and keep our eye on, but I’m comfortable that we’ll be able to deal with whatever variability exists from a component pricing perspective as it related to flash.
Mark Miller – Noble Financial Capital Markets: And just wondering it appears that you’re kind of projecting flat overall drag kind of for next year is that same reason of all?
Olivier Leonetti: We haven’t provided a specific forecast for next year stand. What we have indicated is that we expect the TAM for rotating magnetic storage to increase at a low-single digits level from an unit perspective.
Mark Miller – Noble Financial Capital Markets: And I apologize for this extra but just a housekeeping question, what was your forecast for SG&A and R&D for next quarter spending?
Olivier Leonetti: As we said – as I said in my remarks about $600 million.
Mark Miller – Noble Financial Capital Markets: $600 million so that’s down significantly from this current quarter, is that correct?
Olivier Leonetti: Correct for two reasons we had one addition week of OpEx last quarter, we had 14 week. And then the other one off incentive payment as well.
Mark Miller – Noble Financial Capital Markets: Okay. I’ve Mr. – the incentive payment. Thank you.
Olivier Leonetti: No problem.
Operator: Ben Reitzes with Barclay’s. Your line is open.
Benjamin Alexander Reitzes – Barclays Capital Inc.: Hi, thanks a lot. Steve I wanted to ask you kind of a little more new arms around two things, you already touched on it. In terms of the December quarter guidance with the loss of the extra week, your guidance looks pretty flat up actually if I were to assume that its probably impossible to know what the extra week gave you in the quarter but if you take something off it looks pretty flattish and you were saying down. So I just wanted to see what the extra week was in your guidance and then I just had a quick follow-up?
Stephen D. Milligan: Yes Ben you are right it’s a little bit difficult to calibrate exactly what the impact of the extra week was last quarter. Also not to further confuse things, the December quarter is always a little bit tricky. In the sense that you have Christmas and how much activity actually takes place in the last week. So you could argue that at the 12-week quarter in the sense in terms of the December quarter. The reality of things is that most of our business is reliance shares, OEM based on and such not as transactional. So I don’t really think that the 14th week had a material impact for us we do believe that is probably slightly accretive if we were to guesstimate, but talking about December quarter I mean there will be some moderations from an overall demand perspective that we think that the demand environment as on balance. It’s pretty good. It’s not great, certainly not bad. But it continues to be generally relatively steady.
Benjamin Alexander Reitzes – Barclays Capital Inc.: Okay, great. And then I just open you could clarify one other thing that you said around 50% of free cash flow billing to shareholders and the other 50% joining reserve for potential opportunities. I was just wondering if you could hold that comment around potential opportunities. Did you mean more on the enterprise and flat side or do you if there is a way to holding that I mean it’s really hard to say what you are going to go out and buy into, but if you are the specific, do you see it more in consumer enterprise or however you want to specify that would be great. Thanks.
Stephen D. Milligan: There are two principle opportunities that we think where we our position from a product and customer perspective to expand our footprint. One, I’m clearly as in the enterprise space. If you want to call that moving us to stock and a way that is complementary to what many of our – what much of our customers are doing. And also, we do think that we have incremental opportunity in the consumer or prosumer or smaller, medium business opportunities from a storage perspective as well. So that’s would be the two principle areas that we would be focusing on.
Benjamin Alexander Reitzes – Barclays Capital Inc.: Great, thanks so much.
Stephen D. Milligan: So thank you again for joining us today. In closing, I want to thank all of our employees and suppliers for their commitment and outstanding execution and our customers for their continued business.
Operator: Thank you. This does conclude today’s conference. You may disconnect at this time.